Operator: Good morning, ladies and gentlemen, and welcome to Movado Group, Inc. Third Quarter Fiscal Year 2014 Earnings Call. [Operator Instructions] As a reminder, ladies and gentlemen, this conference is being recorded and may not be reproduced in whole or in part without permission from the company. I would now like to turn the conference over to Rachel Schacter of ICR. Please go ahead, ma'am.
Rachel Schacter: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer; Rick Coté, President, Chief Operating Officer; and Sallie DeMarsilis, Chief Financial Officer. Before we get started, I would like to remind you of the company's Safe Harbor language, which I'm sure you're all familiar with. The statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company's filings with the SEC, which includes today's press release. If any non-GAAP financial measure is used on this call, our presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now I would like to turn the call over to Rick Coté, President and Chief Operating Officer of Movado Group.
Richard J. Coté: Thanks, Rachel. Good morning, everyone, and welcome to our conference call. We're very pleased with our strong third quarter and 9-month results, which continued our strong performance from the past 15 months -- 15 quarters. Our consistent strength demonstrates the ongoing success of our strategies that focus on capitalizing on the unique aesthetic of our brands with compelling product offering while maximizing our world-class operating platform to deliver sustained profitable growth. Our financial results were very strong in the third quarter evidenced by our 18.4% sales growth fueled by double-digit growth in our largest businesses: Movado, our licensed brands and company outlet stores. Overall, we continue to see broad-based strength across our business with strong consumer demand and customer sell-through. Operating income was $34.1 million, an increase of 21.8% from the adjusted $28 million reported in the prior period. This improved level of operating income was driven by sales growth and leveraging of operating expenses that more than offset the planned reduction in gross margin percent. Earnings per share came in at $0.89, an increase of 33% from the adjusted $0.67 reported in the prior period. For the 9 months ended October 31, 2013, our performance was also very strong with net sales increasing 14.7% or 14.1% on a constant dollar basis and adjusted operating income increasing 29% to $61.1 million from $47.2 million in the prior period. With this improved financial performance, we are pleased to announce updated guidance with sales planned at the high-end of our previous range and an increase in our full year operating income guidance. We now anticipate sales growth of approximately 14% for the full year and operating income growth of approximately 26%. This will translate to earnings per share consistent with our previous guidance as our tax rate for the year will increase to approximately 30% from our planned 28% rate. Our balance sheet remains strong with a net cash position of $163 million supported by strong, consistent cash flow from operations and shareholders' equity increasing to $460 million. We are pleased to announce that the Board of Directors has approved another quarterly dividend, declaring an $0.08 dividend as per this morning's press release. Now let me briefly discuss some global trends and provide some specific brand highlights for the quarter. From a global perspective, the watch category continues to perform well, and we continue to experience strong sell-through performance across our retail partners. From an economic perspective, we continue to anticipate moderate growth in North America, modest growth in Northern Europe, some stabilization in Southern Europe, solid growth in South America, despite importation complexities and conservative growth in Asia. From a brand perspective, the execution of our Movado brand strategy continues to produce particularly strong results. Globally, accessible luxury sales grew 14% in the third quarter and 17% for the first 9 months of fiscal 2014, as compared to the same periods last year. Our Movado brand in the United States continues to hold the leading market share position in our key price points of $500 to $1,500 and a strong market position in the $1,500 to $3,000 price segment. Additionally, Movado continues to outpace the market and increase its market share in total in the $300 to $3,000 price segment and in virtually every category within this segment. Indicative of our market share growth in the United States, for the 12-month period ending September 30, 2013, Movado has increased its share of market in the $300 to $3,000 price category, outperforming our competitive set by a 11 percentage points. The overall category has grown 3%, while Movado has grown 14%. Product segmentation and our strategy to offer compelling product at key price points continues to help drive our growth. Great performers in the third quarter included ceramic and steel Cerena with diamonds for women, and in the men's category, our Classic Museum, Sports Museum bracelet and Sapphire product offerings. Our advertised product focus for the holiday season includes the new Museum Thin Classic collection, the SE Pilot, and updated versions of Cerena and Black PVD and black ceramic. Movado Bold, part of our Swiss trend pillar, is still achieving expectations. Strategically limited to approximately 700 doors worldwide, Bold continues to add a fresh, younger perspective to Movado. Bold is also well-positioned to continue bringing the consumer-desired newness to the market with new products such as Bold bangles starting at $395, the new Bold ceramic starting at $795 and Bold with diamonds priced at $1,395 and $1,495. We kicked off the holiday season with high impact 4-page advertising in November issues of leading lifestyle and fashion magazines along with 4 full-page color ads in the New York Times and New York Post. Starting December 2, we will launch 3 new TV commercials on top national cable networks. We continue to use digital and social media to reach new consumers and keep our enthusiastic fan base up-to-date with the world of Movado. Great product, along with a focused omni-channel marketing program continues to help drive our strong Movado brand sales performance. ESQ Movado continues to compete in the $150 to $595 price range with products that brings Swiss design and quality to the market. Our new product collections for this holiday season include line extensions of the Mesh bracelets in Capital, new diamond pieces in Origin and both round and rectangular cases in the new Classica and Status collections. ESQ One, an eye-catching watch of unisex appeal, that's cool, colorful, fashionable and fun, allows us to offer fashion on a silicon strap with a Swiss Quartz Movement at $150 retail. Take a look at the new ESQ One video on movado.com starring YouTube artist, Jonathan Mann. Our luxury category, which represents almost 6% of our total sales, slightly increased from the prior year period. In the third quarter, we were anniversary-ing the major launch of our new Onde and X-1 models last year. In Ebel, we continue to focus on our key markets with our new and distinctive Onde and X-1 collections, along with Ebel's core collection comprising the Wave, Beluga and Brasilia models. In Concord, we continue to focus on the Middle East market with the reintroduction of Saratoga, which was launched in the second half last year. Our licensed brand division continues to perform extremely well. In the third quarter, the licensed brand global team grew sales an impressive 27.5% and 17.8% for the first 9 months of the year as compared to the same periods last year. Led by the repositioning of Coach watches and the continued strong launch of Scuderia Ferrari watches. Growth in our licensed brand division is being driven by innovative product designs at key price points that are resonating well with consumers. Some of the leading product performers for licensed brands during the third quarter were: the Coach Tristen and Boyfriend mini product offerings, the Tommy Hilfiger Windsurf and Ladies Tribeca [ph] models, the Hugo Boss Aeroliner and Ultra Slim watches, the Juicy Pedigree and Jetsetter lines and the Lacoste Borneo and Valencia collections. We have executed at retail our Coach watch repositioning as fashionable modern classics, offering the quality and authenticity inherent in Coach, with an improved price value proposition. With this repositioning, we will be expanding distribution globally and have expanded in to 300 new doors already this season. Coach watches at retail are trending at 25%-plus in sales and helping drive this growth, you see addition of 150 new styles, new fixtures, packaging and a strong print and digital campaign. We are now on our eighth month of the initial rollout of the Scuderia Ferrari brand globally, and we continue to be very pleased with the initial sell-through results. Our core product offerings range in price from $125 to $695 and we have opened approximately 2,000 of the planned 2,300 doors this year. Our outlet retail division remains an important contributor to our business from both the sales and profitability perspective. Sales in the third quarter grew 14% with 10% comp store sales growth. And for the first 9 months, sales are 7.5% above the same period last year. We are pleased to announce the opening of our 35th outlet store on November 21, at National Harbor, just outside Washington, D.C. The greater emphasis we have placed on branding and customer service at our existing stores has helped fuel sales conversion and profitability. We remain excited that the initiatives we have been diligently working on have succeeded in creating momentum in our business. We believe our combination of powerful brands, world-class infrastructure and our talented global management team position us to continue the path of above-average sales and profit growth. During this important holiday season and into next year, we plan to build on these initiatives. We will continue to refine our product lines and introduce more frequent and focused innovation, maintain consumer excitement and further improve our competitive positioning. We look forward to the exciting plans we have in place for driving sustainable, profitable growth for the foreseeable future. We believe that the breadth and depth of our more focused product offering supported by high impact marketing on television, in print and digitally will all contribute to strong continued sell-through and ongoing consumer demand. Now I'd like to turn the call over to Sallie to discuss our financial results and guidance.
Sallie A. DeMarsilis: Thank you, Rick, and good morning, everyone. I'm very pleased to speak to you today and present our financial results for the third quarter and the first 9 months of fiscal 2014. For today's call, I will first review our income statement and balance sheet and then discuss our outlook. I'd like to point out the special items reported last year in the third quarter and the 9-month period of fiscal 2013. Please refer to our press release for a description of these items, as well as the table of GAAP and non-GAAP measure. During the third quarter of fiscal 2013, we recorded a $3 million pretax contribution to the Movado Group Foundation. The contribution is reflected in operating expenses for the third quarter and 9-month periods of fiscal 2013. On a GAAP basis, the tax provision for the third quarter and 9-month period of fiscal 2013 included a $19.4 million or approximately $0.75 per diluted share noncash tax benefits related to the reversal of the valuation allowance on certain domestic net deferred tax assets. The balance of my remarks will exclude these special items just discussed. For the third quarter, our reported sales increased 18.4% to $189.7 million. In constant dollars, sales were 17.3%. Our U.S. sales grew by 22.9%, primarily driven by growth in the accessible luxury and licensed brand categories as well as our outlet stores, and our international sales grew by 13%, driven by our license brands. Sales in our Wholesale segment were $174.9 million or 18.8% above sales of $147.3 million for the same period of last year. In constant currency, Wholesale segment sales rose 17.6%. By geography, our U.S. wholesale business increased 24.4% to $92.5 million compared to $74.3 million last year. Our International Wholesale business increased 13% to $82.5 million compared to $73 million in the prior year. Sales were up solidly in Europe and the Middle East. Sales from the company's outlet stores were up 14.1%. At the end of the period, we operated 34 outlet stores. Gross profit was $101.3 million or 53.4% of sales, compared to $90.4 million or 56.4% in the third quarter of last year. The decrease in the gross margin percent was driven primarily by a planned shift in channel and product mix, impacted by the repositioning of the Coach brand and the launch of the Ferrari branded watches and the unfavorable impact of changes in foreign currency exchange rates. This was partially offset by leverage gained on fixed costs. Operating expenses were $67.2 million, an increase of 7.6% year-over-year. The increase was primarily the result of the following: a $3 million increase in marketing expense, a $1.3 million increase in trade show expenses such as the Basel Watch Fair and a $1.6 million increase in other operating expenses. This was partially offset by a $1.1 million decrease in compensation, benefits and the accrual for performance-based compensation. Operating income was $34.1 million or 18% of sales compared to $28 million or 17.5% in the year-ago period. Income tax expense was $10.6 million and our effective tax rate was 31.1% in the third quarter of fiscal 2014 compared to an income tax expense of $10.4 million or a 37.1% effective tax rate last year. Net income in the third quarter was $23 million or $0.89 per diluted share versus net income of $17.2 million or $0.67 per diluted share in the year-ago period. EBITDA increased to $37 million compared to EBITDA of $30.3 million in the third quarter of fiscal 2013. Looking at the 9-month period ended October 31, 2013, sales were $438 million, an increase of 14.7% from fiscal 2013. On a constant dollar basis, sales increased 14.1%. Gross profit was $236 million or 53.9% of sales as compared to $215.2 million or 56.4% of sales last year. Operating income was $61.1 million compared to $47.2 million in fiscal 2013. As a reminder, during the first quarter of this year, we sold a building that resulted in a pretax gain of $1.5 million or $0.04 per diluted share. And the tax provision for the second quarter of this fiscal year was favorably impacted by a $1 million or $0.04 per diluted share onetime item. Net income was $43.7 million or $1.69 per diluted share as compared to adjusted net income of $31.9 million or $1.25 per diluted share in the year-ago period. Excluding both the discrete tax benefit from the second quarter and the building sale in the first quarter, adjusted earnings per share for the first 9 months of fiscal 2014 would have been $1.61 per diluted share. EBITDA for the 9 months of fiscal 2014 increased to $69.8 million from EBITDA of $55.3 million last year. Now turning to our balance sheet. Cash at the end of the quarter was $163.1 million compared to $164.8 million last year. We continue to have no debt outstanding. Accounts receivables increased $16.1 million or 15% to $123.2 million. This increase was primarily due to the overall increase in sales. Inventory increased $5.9 million or 3.5% to $175.5 million at quarter end. On a constant dollar basis, inventory increased by only 2%. Capital expenditures for the 9-month period were $11.9 million and depreciation and amortization expense was $8.7 million, combined. Previously, we had announced a $50 million share repurchase program. The purpose of this program is to offset normal dilution caused by share awards. For the first 9 months of fiscal 2014, approximately 200,000 shares were repurchased under this program, which began in April. Before I discuss our guidance, I would like to mention that in the fourth quarter of fiscal 2014, we will report a $2.5 million pre-tax refund from the U.S. Customs and Border Protection to recover payments made in the 2008 and 2011 period -- or through 2011 period for watches subsequently exported out of the United States. We do not expect any additional refunds related to this matter. This refund, which is expected to impact earnings per share by $0.06, will be reported in the fourth quarter of this year and is excluded from any fiscal 2014 guidance. Additionally, we believe that a planned donation to the Movado Group Foundation will offset this refund plus the portion of other fiscal 2014 items which are nonrecurring in nature. Now I would like to discuss our guidance for the current fiscal year. For fiscal 2014, we anticipate our sales will increase close to 14% to $580 million. Gross margin rate is expected to be approximately 53.5%, a decrease from fiscal 2013 due to the planned mix of business including the repositioning of the Coach brand and the launch of the Ferrari branded watches. Operating income is projected to increase over 25% to $72 million. This is an increase of $2 million from our previous guidance. EBITDA is expected to increase to $84 million. Due to the mix of the global pretax results, the estimated effective tax rate for the current fiscal year is now expected to be approximately 30%, which represents an increase from our previous expectation of 28%. Due to the higher anticipated effective tax rate, net income is expected to be approximately $49 million and diluted earnings per share will be approximately $1.90 in fiscal 2014. The improvements in operating results alone would have increased earnings per share by approximately $0.05 but were offset by the increase in the effective -- in the estimated effective tax rate. The guidance we have just provided assumes no unusual items for fiscal 2014 and excludes the sale of a building in Switzerland in the first quarter, the $1 million favorable tax -- discrete tax item in the second quarter and a $2.5 million customs refund recorded in the fourth quarter. Now I would like to turn the call over to Efraim.
Efraim Grinberg: Thanks, Sallie. Our third quarter results represent another strong quarter for Movado Group driven by the power of our brands, the strength of our growth strategies and the commitment and discipline of our global teams. Sales growth of over 18% reflects balanced growth across our portfolio, which continued -- with continued strength in our Movado and licensed brands. Our new licensed brand initiatives, including our repositioned Coach watch line and the introduction of Scuderia Ferrari watches continued successfully with both garnering a highly favorable consumer response at retail. We expect this positive performance to continue to benefit our sales growth during the holiday season. Third quarter sales strength combined -- Third quarter sales strength combined with the continued leveraging of our infrastructure led to a 22% increase in operating income and demonstrates our commitment to leveraging our infrastructures we grow. We continue to drive innovation and our product development efforts across our brand portfolio and have a strong product pipeline in place. We are pleased with our balance sheet, which remains healthy with over $160 million in cash and no debt at quarter end. As we head into the holiday season, we believe we are well-positioned, supported by powerful product assortments and high impact advertising programs to drive consumer demand. We would now like to open the call up to questions.
Operator: [Operator Instructions] We'll take your first question from Oliver Chen from Citi.
Oliver Chen - Citigroup Inc, Research Division: Our question was about inventory and your retail partners, how are you feeling about the levels you're seeing there and what sell-throughs are looking like in your view? Also related to the consumer picture if I could just get your thoughts on the marketplace and the heavily promotional, generally speaking, nature of the holiday season so far and how you're prepared and what your thoughts are there?
Richard J. Coté: Well let me first take on the inventory situation. We believe as inventories obviously, been a focus of ours for a long period of time both inventory in [ph] our books as well as inventory at retail. We believe we're extremely well positioned. We spend a lot of time focusing in on that making sure that our productivity is quite strong with our retail partners. So we feel good about our inventory levels as well as the inventory levels at retail and the sell-through performance as I highlighted using Movado as an example in the U.S. has been very strong, continues to be very strong. As I highlighted with the results through September 30 that are official out there. So we're pleased with those positions as we stand now.
Efraim Grinberg: And I think the consumer has been somewhat challenged, and you've seen that but that's been ongoing for a period of time. So we're really focused on is driving innovative product in our strong brands to the consumer, as well as driving strong value equations to them and you see very strong results in our brands such as Movado, Movado Bold, Coach and you've seen them react very positively to those initiatives.
Oliver Chen - Citigroup Inc, Research Division: Watches aren't a category that typically get much discounting, are you thinking that, that's going to happen, given the way the industries trending? And, just Efraim, if you could just share, what's happening with those 6 less days? Is that -- how -- what's your take on how orders will proceed and how the consumer line behaves this season?
Efraim Grinberg: I think, that the consumers still has to buy for the holidays and always when you have the extra days, they are looked at as bonus days and when you don't have it, they have to compress their shopping. So I think it's still going to -- we believe it should be a good holiday season and the consumer's going to respond positively to our initiatives and we're putting out [ph] very strong marketing programs in place to drive consumer demand. And I think as Rick mentioned, from our 4-page inserts in newspapers and magazines to our television advertising, we think we'll drive strong consumer demand through the holiday selling season.
Operator: We move next to Rick Patel from Stephens Inc.
Rick B. Patel - Stephens Inc., Research Division: Could you give us an early glimpse of the growth strategy in North America next year? I know that Coach and Ferrari are the big stories for this year, but I'm curious if there's any particular brands or products that you think will be the stand-outs that will drive the momentum going forward?
Efraim Grinberg: Well I think you've seen very strong growth domestically for us in Movado and in Movado core collection as well as Bold as our Bold assortment and so those are key drivers domestically. And we expect the Coach initiative is only at the beginning and has a great opportunity ahead as we compete within the fashion watch category and offer the consumer great value and design within the Coach DNA.
Rick B. Patel - Stephens Inc., Research Division: And do you expect to increase the number of doors that Bold is located in? Or do you expect to keep it in somewhat exclusive range of 700 locations?
Richard J. Coté: I think we will continue to expand the doors but expand selectively. So 700 was 400 last year. And so we would intend to have increased number of doors globally. But you know probably a couple hundred per year, something like that.
Rick B. Patel - Stephens Inc., Research Division: Great. And then, Sallie, can you delve into gross margins to a bit more, perhaps list the things that negatively impacted that line by order of magnitude? And as you look out at the fourth quarter next year, which of those things do you think will continue to be a headwind and which ones do you think will ease?
Sallie A. DeMarsilis: Certainly, Rick, I'll give the information that I can. Regarding gross margin, as we have planned this year, the impact of our channel and product mix was the largest contributor. So things like the change in our Coach strategies, the repositioning of that plus the launch of Ferrari, so that impacted this year and will somewhat spill over into next year as we anniversary that. And then other things, other factors were things like currency, that was up last year, favorable to gross margin but unfavorable this year, and then we got a little leverage on our fixed costs this year as well. So that was kind of the new order of magnitude.
Rick B. Patel - Stephens Inc., Research Division: All right. And then just a last question on Asia. Can you talk about the performance there in the third quarter and your outlook for the region? Do you continue to see a long runway for distribution growth there with your shop-in-shops strategy?
Richard J. Coté: Yes, I think from a standpoint, the Asia market continues to be a little bit challenging but I think it's a good, strong ongoing market. We're well-positioned and again our focus has been not in a rush to dramatically increase distribution but try to do it in a very sustainable type of manner. So we continue to see growth taking place there. The shop-in-shops that we're running again are minor. I call that experimentation and we'll see to what extent we want to continue with those or expand those. But again I think it's important that the retail distribution market in China continues to evolve, continues to change quite dramatically. And obviously, we want to grow with that as that continues but do it, again, in the smart manner. We don't want to have big ups and big downs that take place. So again, we try to do it in a very sustainable type of manner. So we're pleased with where that market will be going but again, we see that as a long-term market for us.
Operator: [Operator Instructions] We'll take your next question from Kristine Koerber from DISCERN Securities.
Kristine M. Koerber - DISCERN Investment Analytics, Inc: Can you just remind me of the marketing spend this holiday period versus last year? And then just you mentioned Coach and you expanded the doors and how should we think about that going forward, the number of doors you'll be in?
Richard J. Coté: Well, I think from a marketing standpoint, we continue to increase our investment in marketing year-over-year. So Sallie, as I highlighted that, the dollar increases that took place in the 9 months. So we continue to do that and I think in a very consistent basis around the world. So it's increasing as a percentage, the order of magnitude probably in that 7% type of range, a 5% to 7% per year. So that's a continued investment that we make. Holiday is obviously our biggest spend period and that's consistent year-on-year. So nothing unusual from this holiday season to last holiday season other than that consistent level of spend increase. And the second is the Coach doors, we do see the opportunity of continuing to increase Coach doors. So we'll probably get around 2,500 globally. We would expect to be a little over 3,000 next year. We had, as I said, about 300 door increases this season to date so far driven by U.S. and international. The international has been predominantly in the U.K. so far. But we see with the repositioning of Coach, the opportunity of continuing to expand those doors so that will be an expansion, not a doubling or tripling but a nice logical increase in doors probably in that 10%, 15% arena.
Operator: [Operator Instructions] We'll move next to Eric Beder from Brean Capital.
Eric M. Beder - Brean Capital LLC, Research Division: One of your licensees, Juicy, just got sold. Could you talk about how you -- what you think of that and how that potentially is a positive? And how should we be thinking about the tax rate going forward? Is the 30% level what we should be using in 2014?
Efraim Grinberg: Well, why don't I let Sallie take the tax question first and then I'll answer the Juicy question.
Sallie A. DeMarsilis: Traditionally, Eric, we do give guidance on things like that with our year-end call. So for now, it's probably best to keep that, use that 30% as the rate based on the mix of our business on a global basis.
Efraim Grinberg: We look, actually, at the Juicy transaction ultimately as a positive. The brand had been in limbo for quite a while. And this, we believe will represent opportunities for us down the road. It's still very early on in the process. So as we look at our opportunities and develop our strategy for how we're able to grow Juicy into the future. So we do believe that for the company, it certainly represents some opportunities to do things differently. And to grow a business that had not been growing.
Eric M. Beder - Brean Capital LLC, Research Division: And what about the Tommy Hilfiger and Europe in general, what are you seeing in Europe when you look at it going forward maybe some in terms of geographies or other pieces?
Richard J. Coté: Well again, I think from a standpoint, when we look at Northern Europe, that's continued to have, I call it modest level of growth. We'd like to see a little bit more growth there but I think it's doing fine. And I think we're doing extremely well from the standpoint of versus competition. So we're pleased with our performance. I would sit here [ph] and say in Southern Europe, which is still a very, very tough market considering the high levels of unemployment, Scuderia Ferrari has been well-received there. So we're very pleased with the strong performance that we're generating out of Southern Europe, but again that's very much driven by strong performance in our brands but really being driven on a big positive because of Scuderia Ferrari. So we think Europe is, number one, is a big market for us. So we think it's positioned to kind of continue with good growth and so we're happy with where it is and where we're positioned in that market.
Operator: [Operator Instructions] We'll move next to Mike Richardson from Sidoti.
Michael Richardson - Sidoti & Company, LLC: With regard to the door growth that you have for Ferrari right now, you're up to about 2,000 doors, is that still primarily focused in Europe? Or that expanded at all into the Americas?
Richard J. Coté: No, no. That was globally, so with good growth the Europe is obviously, the leading market but South America and Asia are important. U.S. is also I think in the early parts of that. So we probably have 100 or so type of doors in the U.S. and that will be obviously, an important part of our growth next year when we look at a further expansion of those doors. So we have plans over the next 3 years of constant door increases as well as obviously, sell-through performance taking place there.
Efraim Grinberg: And we're really pleased with our product assortment within the Scuderia Ferrari collection. If you take a look at it on their website or on their Facebook postings, it's really tremendous product that ties in very well with their brand.
Michael Richardson - Sidoti & Company, LLC: Okay. With regard to performance of Movado Bold, are you seeing any difference in performance of the higher priced Bold with diamonds as compared to sort of the rest of the other collections or is it pretty consistent?
Efraim Grinberg: We're pretty consistent across the board, seeing very strong performance in almost all of our existing products in Bold and our new product introductions. So we introduced a new Bangle at $395, it's doing very well. We introduced Diamonds in the spring at $1,395 and $1,495 and they're doing very well. So it's really a platform that has a tremendous amount of legs and we think opportunity for the future.
Michael Richardson - Sidoti & Company, LLC: Okay. And just one last one here, I just want to confirm actually some previous question with regard to the advertising spend for the fourth quarter. Is that consistent with what you sort of planned at the beginning of the year, or get to ramp things up a little bit due to more competitive promotional environment?
Efraim Grinberg: I think it's consistent. We expect to run at the forecasted amounts for the balance of the year.
Operator: We'll move on to Edward Yruma from KeyBanc Capital.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: I'm just curious on the Ferrari sell-through in U.S. Department stores. Obviously, I know you're getting some new slotting there but obviously, that's a very competitive market and seems to be new entrants from brand -- price point perspective, how has sell-through been and kind of can you contextualize what the opportunity is at U.S. Department stores for Ferrari?
Richard J. Coté: Yes. As again, I think it's early days. We launched 8 months ago in the U.S., probably it's been around 5 months it's been in the marketplace. So we're pleased with the early signals that we're seeing. Again, I think as Efraim highlighted, the product offering is quite exceptional. The price value is quite exceptional. It's great looking product out there and being well-received but again I think it's early days and we got opportunities of ramping that up to a much higher level over the next couple of years.
Efraim Grinberg: And even if you see it in the United States recently, you've seen greater coverage of Formula One races and Ferrari racing. It was on NBC last weekend and the weekend before with the Formula One races in Austin and there's also a lot of tourists, we're in a lot of tourist markets always in the United States, we were doing extremely well, like Miami, like New York where you have big Formula One race fans coming into the marketplace.
Edward J. Yruma - KeyBanc Capital Markets Inc., Research Division: Got it. I'm sorry if I missed this earlier, but do you have any commentary on the ESQ One? I know that was a big launch for you and a great price point. Any kind of color on that product would be great.
Efraim Grinberg: It's still in -- really in the early stages. We've had fairly good sell-through in that area but it's in a very limited number of doors as we evaluate the potential of that initiative.
Operator: And at this time, there are no further questions in the queue. I'd like to hand the conference back over to management for any concluding remarks.
Efraim Grinberg: I would like to thank all of you for listening today. We're looking forward to a strong holiday season and we wish you all a great Thanksgiving weekend as well as a great time for -- and a healthy time for the upcoming holidays. So thank you very much.
Operator: And that does conclude today's teleconference. We thank you, all, for your participation.